Operator: Ladies and gentlemen, welcome to the MorphoSys Quarterly Call on the Financial Results of Q3 2014. Please note that for the duration of the presentation, all participants will be in listen-only mode and the conference is being recorded (Operator instructions). Now, I would like to turn the conference over to Dr. Gutjahr-Löser. Please go ahead.
Claudia Gutjahr-Löser: Good afternoon and also good morning and welcome to our Q3 2014 conference call and webcast. I am Claudia Gutjahr-Löser, Head of Corporate Communications and Investor Relations of MorphoSys. For the participants of the conference call, you will find the slide deck of this presentation on our corporate website. Before we start the presentation, I have to remind you that during the conference call, we will present and discuss certain forward-looking statements concerning the development of MorphoSys core technologies, the progress of its research programs and the initiation of additional programs. Should actual conditions differ from the company's assumptions actual results and actions may differ from those anticipated. You are therefore cautioned not to place undue reliance on such forward-looking statements which speaks only as of the date hereof. With me today are Simon Moroney, our Chief Executive Officer, Jens Holstein our Chief Financial Officer and Arndt Schottelius, our Chief Development Officer. Simon will start by giving you an operational overview of the first nine months before Arndt will address the ASH abstract, which were released yesterday. Before we open the call for your questions, Jens will review the financial results for the first nine months of 2014. Afterwards, Simon, Arndt and Jens will be available to answer your questions on these topics. I would now like to hand over to Simon Moroney.
Simon Moroney: Thank you, Claudia and also from me, a warm welcome to the call. Q3 has been another quarter of significant progress from MorphoSys. As usual, I'll start by running through the most important events. Starting with our proprietary portfolio; the highlight was the addition of a new program, which came about through our agreement with Emergent BioSolutions on the joint developments and commercialization of MOR209/ES414. We talked about this deal on a call held on August, 20. So I won't go into it in detail now. I will however remind you, that MOR209 is bi-specific antibody for prostate cancer, which is about to enter Phase 1 clinical development. We expect the trial to start around year end. Arndt will provide an update on the other clinical development programs in his part of the presentation. Turning to our discovery activities, in October MorphoSys announced the acquisition of Lanthio Pharma's lanthipeptide technology. As a reminder, lanthipeptides are small constrained cyclic peptides, which can be produced either chemically or recombinantly. Our decision to exercise in option in the original agreement with Lanthio Pharma was based on a feasibility study which convinced us, that we could make and screened live lanthipeptides. This technology brings us the capability which is complementary to our antibody platform because of their small size lanthipeptides can be used to target new epitopes. In addition, lanthipeptides are potentially orally available with an antibody like ability to inhibit protein-protein interactions, which is very difficult with small molecules. In this regard, the lanthipeptide platform is absolutely complimentary to our antibody capability. This transaction is based on an investment in Lanthio Pharma from our innovation capital program and exemplifies, how we intent to use strategic investments into promising young biotechnology companies. This quarter, we announced that we have been awarded a research grant up to EUR 1 million from The German Federal Ministry of Education Research. The grant will support the discovery and development of therapeutic antibodies against two G protein-coupled receptors. Altogether in our Proprietary Development segment, we now count 10 active programs of which three MOR103, MOR202 and MOR208 are in clinical development. At this point, it's worth mentioning that we have completed the transition of all of our proprietary discovery programs to the new Ylanthia platform. We've conducted a detailed comparison of Ylanthia with our HuCAL PLATINUM Library and shown that Ylanthia consistently yields a superior output in terms of the diversity of the antibodies, we generate and a requisite drug like properties of those antibodies. Let's look now at our Partner Discovery segment. During Q3, we received a milestone payment from Novartis, in connection with the initiation of a Phase 1 clinical trial in the field of diabetic eye disease. This new program brings to nine, the number of our antibodies in clinical development at Novartis. Shortly after the end of the third quarter. We received milestone payment from our partner Janssen Biotech for the start of Phase 3 clinical development of guselkumab. Janssen has announced that they will conduct three Phase 3 studies of guselkumab, then mild-to-moderate psoriasis patients and a total of more than 2,000 patients. Completion is scheduled for 2016. In total, our partnered and proprietary pipeline currently comprises 94 therapeutic antibody programs of which 21 are in clinical development. Of the 21 programs in the clinic, three are in Phase 3 clinical development, 10 are in Phase 2, and eight are in Phase 1. That completes my overview of the operational highlights of the quarter. Now over to Arndt for the update on our proprietary portfolio.
Arndt Schottelius: Thank you, Simon and also from me, a warm welcome to the call. The abstracts for this year's ASH Conference were published yesterday evening. We're looking forward to presenting a clinical and pre-clinical data package at the conference in December, on our MOR208 and MOR202 programs. We have published three abstracts with data and I would like to quickly summarize the results for you. The first abstract covers the ongoing Phase 2 trial for MOR208 and NHL. The open-label Phase 2 study was design to assess the efficacy and safety of Single-Agent MOR208 and patients with relapsed or refractory NHL previously treated with Rituximab. Who were not candidates for high dose therapy with stem cell support? Please bear in mind, that we are looking at four different subtypes of NHL namely Diffuse large B-cell lymphoma, follicular lymphoma, mantle-cell lymphoma and other indolent NHL. The abstract covers the efficacy results for the 51 patients enrolled in Stage 1 and the safety for 85 patient's enrolled to-date in stages one and two of this trial. The investigator assessed overall response rate in Stage 1, overall NHL subtypes was 24% with responses observed in the DLBCL, FL and other indolent NHL cohorts. As listed on the tablet on Slide 8. To summarize the safety profile MOR208 is well tolerated without significant diffusion toxicity and demonstrates preliminary efficacy in patients with relapsed refractory DLBCL, follicular lymphoma and indolent NHL. The data we've generated so far in NHL provides strong support for the 208 program. The signal searching approach we applied to the study has identified in particular diffuse large B-cell lymphoma and follicular lymphoma as valuable development options for this compound. We will present updated data on this trial at the ASH meeting. We expect to complete recruitment for the Phase 2 study of MOR208 and NHL shortly. At the moment, we are actively planning additional Phase 2 studies for MOR208 in combination therapies focusing on DLBCL and indolent lymphoma including follicular lymphoma. As announced this morning, MOR208 received fast track designation from the FDA for the treatment of DLBCL. The more frequent interactions with the FDA that this enables will help us to expedite the development of MOR208 and this particular subset of non-Hodgkin's lymphoma patients. The second abstract on MOR208 summarizes the final results of the completed Phase 1b/2a trial of MOR208 and CLL. In total, 27 patients were enrolled with a median age of 66 years. the patients were generally high risk and heavily pretreated with median number of four prior therapies. Toxicity of MOR208 was modest with no maximum tolerated dose identified. The efficacy of MOR208 in this trial was encouraging with 67% of patients achieving a partial response by clinical criteria and 30% using the International Working Group CLL to full eight criteria. These response rates are impressive especially Single-Agent antibody and compare favorably with results for Rituximab given on a weekly schedule as well as ofatumumab and obinutuzumab in the relapsed CLL setting. Responses to MOR208 were fairly durable as well, especially giving the limited duration of exposure to the drug in most patients. Response duration were prolonged and those receiving maintenance therapy would suggest that a longer duration of antibody administration is reasonable in future trials. The third abstract covers additional preclinical studies of MOR202 in combination with immunomodulator pomalidomide. The cytotoxicity MOR202 on multiple myeloma cells was enhanced and synergized, then combined with pomalidomide by a multiple mechanisms namely direct cytotoxicity, CD38 Upregulation and activation of effector cells. These results provide a mechanistic rationale for MOR202 with pomalidomide. As previously communicated, we've added two additional cohorts to the ongoing MOR202 trial. Where we will test MOR202 in combination with pomalidomide and with lenalidomide. These studies will start in Q1 of 2015. Before I hand over to Jens, I wanted to MOR103 briefly, clinical data for the MOR103 program from the Phase 1b study and multiple sclerosis represented at September at the ACTRIMS-ECTRIMS meeting in Boston. The data showed that MOR103 is well tolerated in max [ph] patients and some hints of activity were observed. Presentation of these results marked the last of our direct responsibilities for the MOR103 program, which is now fully transferred to GSK. That completes my overview, I'll now hand over to Jens for the financial review.
Jens Holstein: Thanks very much, Arndt. Ladies and gentlemen, also from my end, warm welcome to our Q3, 2014 conference call and many things for your interest in MorphoSys. As I'm used [ph] to, I'll start my report with a summary of the most important financial figures of the first nine months of 2014. Before coming to our recently updated guidance for the full year of 2014. Turning to a consolidated income statement, you see that total group revenues from continuing operations amounted to EUR 46.9 million for the first nine months of 2014, compared to EUR 63.6 million in the same period of the previous year. You might recall that we have been able to sign a number of very important agreements in the first nine months of 2013. At the beginning of '13, we sold our subsidiary AbD Serotec to Bio-Rad and signed a license agreement in connection with this deal for the use of HuCAL for research and diagnostic purposes. In June, we then signed contracts with GlaxoSmithKline for MOR103 and with Celgene for MOR202. Specifically, the agreement with GSK contributed more than EUR 20 million to our top line in 2013. Explaining the decrease we see in comparison to this year's revenue. Moving towards our expenses total operating expenses from continuing operations remained essentially at the level of the previous year amounting to EUR 51.1 million. Our expenses in research and development increased to EUR 40.8 million with personal expenses cost to external laboratory services being the biggest cost blocks. investments in proprietary product and technology development during the first nine months amounted to EUR 26.1 million as compared to EUR 24.1 million in previous year. Selling general and administrative expenses amounted to EUR 10.3 million in the first nine months of 2014, compared to EUR 13.2 million in 2013, with a decrease driven by lower expenses for personnel and external services, as well as some reallocation to cost. In the first nine months of 2014, the EBIT from continuing operations amounted to minus EUR 3.7 million in comparison to positive EUR 14.6 million for the same period of the previous year. A net loss of EUR 2 million was generated by our continuing operations in the first nine months of 2014 compared to a net profit of continuing operations of EUR 10.9 million in the first three quarters of 2013. The net loss for the group amounted to EUR 2 million compared to group net profit of EUR 16.9 million in the same period of the previous year. For 2013, group net profit comprised to one-time disposal gain in connection with a deconsolidation of AbD Serotec which was posted in Q1, of 2013. The resulting diluted group earnings per share amounted to minus EUR 0.08 compared to EUR 0.68 in the previous year. Let's now have a closer look at our two business segments. The Partnered Discovery segment generated revenues in the amount of EUR 35.5 million in the first nine months of 2014 compared to EUR 40.5 million in the previous year. The segments revenues from funded research in licensing fees decreased by 12% to EUR 33.1 million, a result of previously mentioned one off effect in connection with the sale of AbD Serotec in the first quarter of 2013. Revenues from success base payments decreased EUR 2.4 million in the first nine months of 2014 compared to EUR 3 million in the previous year. In this figure, the recently announced milestones from Janssen Biotech for guselkumab is not included. Operating expenses in this segment decreased to EUR 17.2 million. The EBIT amounted to EUR 18.3 million, an EBIT margin of roughly 52%. The Proprietary Development segment achieved revenue for EUR 11.5 million in the first nine months of this year compared to EUR 23 million in the same period of 2013. These revenues in the second were generated from our co-development activities with Celgene in connection with MOR202. Operating expenses in this segment increased from EUR 20.8 million in the first three quarters of 2013 to EUR 24.2 million, this year. Turning to the balance sheet, on October 31, 2014 MorphoSys held liquid funds and marketable securities as well as other financial assets in the amount of EUR 364.3 million, compared to EUR 390.7 million on December 31, 2013. This decline in cash position was driven by the upfront payment made to merger in connection with in-licensing of MOR209. The repurchase of shares for the company's long-term incentive program and finally a result of the use of cash flow operating activities. Turning to our guidance, before we open up the call for your questions. we would like to reconfirm our operated financial guidance issued on October 22, for the full year 2014. We anticipate total group revenues at the upper end of guidance range of EUR 58 million and EUR 63 million and a negative EBIT of between minus EUR 5 million and minus EUR 8 million. Main reasons for the change are the receipt of a milestone payment from Janssen for the start of three Phase 3 trials with guselkumab as well as a partial shift of proprietary development expenses to 2015. Our strong balance sheet, allows us to invest in our existing development program as needed and to invest also in the acquisition or through development of compounds coming from third parties as shown with the recent MOR209 deal. Looking beyond 2014, those activities will increase, the amount of money we invest in proprietary R&D. To increase our investments in R&D, it's a deliberate and careful choice. MorphoSys intends to do this in areas, where we see compelling opportunities to create long-term value. To summarize, 2014 is another successful year, both operationally and financially fulfilling or exceeding our set goals. We are very satisfied over the performance in the first nine months of 2014 and we are optimistic for the future too. The company intends to create value with its R&D investments and we are continuously striving to do so, with our two business activities, the partnered business and our proprietary development activity. Ladies and gentlemen, this concludes my review for the first nine months of 2014 and I'll now hand back to Claudia for the Q&A session. thank you.
Claudia Gutjahr-Löser: Thank you. We will now open the call for your questions.
Operator: (Operator Instructions) the first question comes from the line of Diana Na from JP Morgan. Please go ahead
Diana Na – JP Morgan: It's Diana Na from JP Morgan. I have three questions, please. First could you comment on, how the Phase 2 trial recruitment is going for MOR208 in the ALL indications and Amgen's blinatumomab having recently received FDA priority review, what do you think, you can do to speed up the development process, there? And secondly for MOR208 in NHL to help us sort of put things into context. Could you perhaps comment on what level of historic response rates, one would normally see in NHL patients from the relapse and refractory setting using current available therapies? And just finally on MOR103, well GSK recently announcing cost savings, how committed do you think they're with a program given then it's been more than a year since the in-license this asset, but still haven't announced any new trials, yet? Many thanks.
Simon Moroney: Those, I think they're all questioned to Arndt, would you like to take those, Arndt?
Arndt Schottelius: Yes, sure. Diana thanks for those questions. I'll start with, your first question was MOR208, the Phase 2 recruitment ALL. As we announced, at the Q2, we are slightly behind schedule there. We have added sites to the trial; there is still interest in the trial to make this in time. We are still also operationally on track with recruitment slightly behind, so with the addition of additional sites, also with the data that we have now presented. Of course, also shared with the investigators. I think, as optimism that this can speed up things here. Of course, you're right with blinatumomab here that's being good data. That's up there; there is always of course competition, with those sites. So it's up to us, which we are doing very actively to talk to those sites, travel there, motivate, explain, share the data and so on. At 208 you had, the question about kind of benchmarking, what one would expect in the NHL setting and maybe since we, kind of focusing on the DLBCL data, also with the fast tracked announcement. Let me just share a few data here and the NHL setting that's out there. Of course, it's one thing, how you compare that apples-to-apples. The most fair comparison to other would be same target like MEDI-551 also Single-Agent which is in the range slightly below, what we have seen in terms of overall response rate. Of course, there is other molecules out there. You know the, ADC coltuximab [indiscernible] those are slightly above the overall response rate. We have seen, but keep in mind these of course should not be at least in my mind, not been seen as Single-Agent there. ADC is already combined with a [indiscernible] agents. They're around kind of the 30% to 35% overall response rate. Maybe to include, CLL in that setting, which in a way is also belongs to the family here, of course, to the Lymphoma's a leukemia's. There you might have seen in the published Bert blood paper on the final data in CLL. Our data in both criteria, the new CLL 2008 criteria and NCI 9096 [ph] compared quite favorably as well with the on target competitor MEDI-551. Remember, we had in the highest dose 38% response rate, which is lower MEDI-551 has also been in the same range with or slightly lower for ofatumumab and this is kind of same range, slightly lower obinutuzumab in Phase 2. So also here, I think we compare favorably and hope that gives you kind of an overview of the benchmark in what to expect, then I think your last question was 103 GSK. Yes, they have announced cost savings of course like many of in the industries. We see no change in commitment there, whatsoever. I think, we all realized, they're really focusing maybe more so inflammatory diseases opioid attack, who runs that shop there with immune-inflammation is very committed. I think one has to understand that, companies that size usually don't give detail updates, where they exactly stand on. So I wouldn't make anything negative out of that. We are basically on our way to again, meet with them that we do regularly. We have seen no change in their commitment. I think, we are convinced; they're as committed, as in the beginning.
Diana Na – JP Morgan: Great, thank you so much.
Operator: The next question come from the line of Sarah Potter from Bank of America. Please go ahead.
Sarah Potter – Bank of America: Sarah Potter from Bank of America. Thank you for taking my questions. I've got two on financials and two on MOR208, please. So firstly on the financials, thinking about the cost. Your release mentioned shifting some proprietary cost from '14 into '15. I wonder, if you could talk a little bit more about what these cost specifically relate to. And then looking ahead, your R&D appears higher in this quarter. so how much of the EUR 17 million relates to one-off impairments and how should we think about the quarterly R&D run rate going forward versus the historic run rate of EUR 11 million or EUR 12 million. And then moving onto MOR208. Congratulations on the fast track designation. I was just wondering, if you could remind us of the procedure to apply for breakthrough therapy status. Do you have to have a certain amount of data before this can be requested? And when can we expect to further color on the additional Phase 2 combination trials that you talk about with MOR208? Thank you.
Jens Holstein: This is, Jens. Thanks for your questions. I will start with the two financials ones, first. Regarding the cost. I mean, as you know we have a couple of co-development activities. We changed little bit the plans for 202 throughout the year. That influenced a little bit, the volatility of all figures and specifically in the area of production of material, we had, it's becoming more challenging to really get the right sort of planning for our spending, for those trials. So you have always that slight shift of cost, which we have seen this year and as I said, it's mostly driven to material impacts, really. In terms of the run rate and how much, you can expect basically that's what my understanding is, what you wanted to address, what the run rate is going forward for the next quarter specifically for then the full year of '15. That's actually very difficult to say, at this point in time. We know our R&D spent depends very much on the plant for our proprietary assets namely 208, 209, 202, and 106. We have added programs here 209, is a totally new one, which we have added 106, will create some cost. Our co-development activity together with Merck Serono and then specifically 208, with the data which we have presented today and you know forthcoming data, which we are intending to present, which now looks very encouraging. We plan to add additional trails going forward and therefore, you should expect that, we will increase R&D spend in 2015. The details to those plans, we still have to announce and based on those, I'm able to give you clearer guidance on R&D spend beginning of next year.
Simon Moroney: And maybe related to that, let me just pick up Sarah on your fourth question and then I'll hand it over to Arndt for that regulatory question on breakthrough therapy designation. So regarding details on the combo trials for 208. Again I think, latest at the yearend results conference in February of next year, we would intent to communicate those details as part of a larger picture of what we, plan to do in R&D next year. Arndt?
Arndt Schottelius: And then Sarah on there, question fast track. I think you asked about the procedure, what is needed for breakthrough as you rightly pointed out. Usually, you wait, one waits a little longer there. Sufficient amount of data together, that is also has a certain maturity stages to apply for that. These are very different and separate application procedures. We did apply for fast tracked, this time. Which we got of course, very happy. We can now interact with the FDA more regularly. This will expedite the program altogether. That of course, by no means excludes any breakthrough. We want to wait, until the data matures more and see, where the data is, of course. One has to convince oneself that it is, mature and strong enough to go for breakthrough. Everything is open here. We are happy with the fast track right now. Well that helps us to interact with the FDA right away and breakthrough of course is still an open option.
Sarah Potter – Bank of America: That's great. Thank you very much.
Operator: The next question come from the line of Igor Kim from Close Brothers Seydler. Please go ahead.
Igor Kim – Close Brothers Seydler: I have a few questions, the first one is regarding the SG&A cost. It's been much lower compared to the prior year in the first nine months. So what should we expect for the last quarter. I suppose, a similar run rate that would go into first three quarters and the second question, could you probably shed more light regarding your new partnering program with Novartis. Could you provide some color regarding future timeline and when should we expect the next milestone from this program? And the third question is, regarding guselkumab, and a Janssen startup Phase 3 trial on October. So did they inform you, when they expect the filing for or any of further hints regarding further development? Thank you.
Jens Holstein: Let me quickly, solve the question on the SG&A cost. Igor, thanks very much for the question. I would expect the last quarter, something which is in the range of last year and the run rate, which we have seen for the first three quarters. The last quarter is always a little bit higher in comparison to the first three quarters. So, the sort of difference you have seen between the total cost for SG&A in the first nine months of this year in comparison to last year, is sort of difference, which could apply also from a total cost of '14 in comparison to '13.
Simon Moroney: And Igor regarding the second and third question, so the new program with Novartis. Unfortunately, we can't say more about this time we've already said, but it's in the area of diabetic eye diseases. We are not able to disclose the target at this stage. I think, you can assume it's a normal Phase 1 study that's being conducted there, but you would have to go to Novartis to ask for any guidance regarding timelines and potentials, next events, in that development program, that's not something that we can share at this stage. Regarding guselkumab, here Janssen is on record actually publicly as saying, that this is one of number of compounds that they intend to file within the time period leading up to 2017. So I think, based on that information we would anticipate that if all goes well. Obviously in the trial, that it could be ready for filing in 2017.
Igor Kim – Close Brothers Seydler: Okay, thanks.
Operator: The next question comes from the line of Steve Chesney from Goldman Sachs. Please go ahead.
Steve Chesney – Goldman Sachs: Steve Chesney from Goldman Sachs. Just wanted to ask, two questions 202, if I could? Just kind of leaping through the ASH abstract. It looks, as if your competitor Genmab has submitted an abstract for daratumumab now this is in, in vitro and it kind of propose to compare an analog of 202 and other anti-CD38 antibodies to daratumumab and their conclusions are essential that daratumumab is the only one capable efficiently in inducing complement dependent cytotoxicity and they go on to theorize, that's key for efficacy for multiple myeloma in the clinic. I'm wondering, if you guys have kind of seen that paper, seen that abstract and just kind of get your takeaway on the data and then, obviously, we are going to be seeing more daratumumab and more data from Sanofi at the ASH conference as well. Wondering, if you can give us just a quick update on when you think, we might be seeing data for 202. Thanks very much.
Arndt Schottelius: Steve, I'll take that both questions on 202. Your first was the which of course, we have seen the abstract from Genmab comparing the different CD38's in vitro. Let me preface some caution here, what was done is first of all making the antibodies including our CD38 in a different framework that we use, that makes the comparison, I think somewhat limited. Let me jump right to the question about CDC. Your question really was, what does that mean, how does ours compare in the comparison, it was described to has lower CDC. Of course, we have communicated that all along. We maintain our opinion that, it yet to remains to be seen how the CDC component of CD38 really relates, translates in to the clinic. Keeping mind, ofatumumab for example, a big buzz about the CDC here, how that would translate into the clinic. I think, we really haven't seen that. I think we have a very strong ADCC, ADCP antibody, nothing changed here with our optimism to the data, that we'll be presenting next year, that's the question you have as we said at the last Q2 call. We are adding, the combination cohorts right now. We are looking more to pharmacologically explore, the different dosing regiments having added dexamethasone and as we said, we haven't decided on the conference yet, but we will present clinical data, next year.
Steve Chesney – Goldman Sachs: Thank you.
Operator: The next question comes from the line of Jason [indiscernible] from credit Suisse.
Unidentified Analyst: Bunch of them have been asked, but I'm but I'm just wondering on the MOR208 data at ASH. Are we going to get full data from stage 2, when that data is actually presented at the conference and secondly, the chart that you showed from the abstract in your presentation has quite a number of patients listed as unknown and I'm wondering, if you back out those patients, the response rates are actually quite high. So are those patients are just have yet to be scanned and we don't know or how should we think about those patients and what you think the real response rate is, for example in DLBCL?
Arndt Schottelius: Yes, Jason I think I'll take those question for 208. First you ask about, will see full stage 2 data for the different sub forms, no, not yet. I mean, this was a data cut kind of around February. We have said, we are getting close to recruiting for two sub forms that we are following up, follicular lymphoma, DLBCL recruiting the stage 2 by the end of the year, but we won't have all the data ready. For the poster, that will mature more, but there will be more patients included. Your question about the unknown patients, that is a mixture and some of those patients that have made it to the assessment ponds or have dropped out. Assuming we will give details, at the poster. So you're right, when you look at the full picture of the valuable patients, that could slightly change and I think, let's wait for the poster, where we give all of the details. Hope that, answers your questions. Jason.
Unidentified Analyst: Certainly. Thank you.
Operator: Your next question come from the line of Mark Pospisilik from Kempen & Co. please go ahead.
Mark Pospisilik – Kempen & Co: Just one more on MOR208, just qualitatively, love to get your comments on how you see the positioning of 208 in particular, with respect to newer agents and in hematology cancer such as Ibrutinib
Arndt Schottelius: I'll be glad to take that question. So in terms of Mark, your question thanks for that in terms of a Ibrutinib, of course great success can be combined with the anti-CD20s out there. Let me, kind of make a broad statement. I think, what we really like with our 208 antibody, it has such good safety profile, it can be easily combined with any chemotherapeutic agent, any of the newer and upcoming TKI's, small molecules that are out there. Any of those combinations are thinkable. You can imagine, we go through those iterations. Think about all combinations and as Simon already said the, we would update you on the first combo trails, we will be starting, the next year probably at the February conference. So does that answer your question, Mark?
Mark Pospisilik – Kempen & Co: That's helpful. I know it's early days and you guys are still waiting to see the data, before making concrete decisions, but that's helpful. Thanks.
Operator: Your next question comes from the line of [indiscernible] William from [indiscernible] Bank. Please go ahead.
Unidentified Analyst: It's actually a follow-up to a previous one regarding the CD38 environment. So could you please comment on that, where you see benefits of the [indiscernible] to antibodies or then risks and how you will position new antibody going forward? Any hints on there?
Simon Moroney: Maybe, I can start, just before maybe Arndt wants to add something to that. I think it's a little bit early to say, at this stage. We haven't yet released any clinical data from MOR202 our program and therefore, it's a little bit difficult obviously to compare 202 with the Sanofi and the Genmab programs, but there's definitely a three way race, ongoing in the moment in the space, with those three different antibodies and obviously, we're keen to see our clinical data from the ongoing trial, when is completed compares with those two other compounds, but at this stage I think it's just a little bit premature to draw any conclusions about, how these compounds could be position relative to each other. Arndt I don't know, whether there is anything you want to add any additional color around there?
Arndt Schottelius: No, I think you said the most important points. Olaf, [ph] if you were looking for potential kind of differentiators. You know of course, one way would be to go with different combination partners just to hint at the mechanistic rationale, we've provided with our preclinical abstract and as we said of course, we will in those accommodations with pomalidomide that will be interesting to see, how that will be different than some of the combination partners. Used also what helps to differentiate in position of course, of convenience if you think about infusion time. Here we have a consistent turon [ph] fusion time, I think it's known out there that for example Genmab, has had different times and longer. So these are some of the aspects, that will help to position in the future.
Unidentified Analyst: How do these antibodies compare with respect to the toxicity, can they be potentially equally combined to chemotherapeutics and how would this class of monoclonal antibodies compared with the antibody conjugates for multiple myeloma?
Arndt Schottelius: Yes, maybe just to in line of what Simon just said, since Olaf [ph] we haven't presented any data yet of course, we cannot comment on our safety and principal, if I understand your question correctly. Of course, there are naked antibodies not ADC, so they can be combined to which we see, that's expected that will be the new treatment paradigm, I think that's clearly evolving. The combination of CD38 is with active agents here, the imits [ph] and immunomodulators and so I think that will be the main route of development.
Unidentified Analyst: And with the respect to the risk benefit profile, how would the naked antibodies compare with the ADC's?
Arndt Schottelius: Well, I think it's expected again kind of a general comment. The ADC's we have seen that to take the, it's true for the CD38, but also CD19 you would expect higher toxicity with ADC's. Clearly let me give the CD19 example, where you see clear ocular the toxicity depending it's always of course depending on the agent that is linked there. So yes the ADC's will have more difficult safety of course than the naked antibodies.
Unidentified Analyst: Okay, thank you very much.
Operator: The next question comes from the line of Victoria English from MedNous. Please go ahead
Victoria English – MedNous: Yes, Simon apologies for taking you away rest away from the cancer subject, but I was wondering whether there will be anything to say, between now and end of the year on gantenerumab with Roche?
Simon Moroney: Thanks, Victoria not that we're aware of. So as you know it's actually two ongoing Phase 3 trials at the moment. So we anticipate that, we probably won't hear anything about that until those trials are completed. The first of which will be in '16 and second of which will be in'18.
Victoria English – MedNous: Thank you very much.
Operator: (Operator Instructions) the next question comes from the line of Mick Cooper from Edison. Please go ahead.
Mick Cooper – Edison: Couple of questions. Firstly, following the deal with Emergent, are you comfortable – and the MOR106 advancing to formal preclinical. Are you comfortable with how your part-time developing or do you still feel that you need to in-license or would like to in-license the further product? And secondly for Jens, could you give us an update on where you expect the cash to be at the end of the year. You had a bit of cash notes forecasting at this stage.
Simon Moroney: Yes, Mick let me start with that, many thanks. We are always on the look out to add the compounds to the pipeline. We feel very good about what we have, we like the programs, having said that we have capacity and we have the resource to engage in more programs and therefore, there's an constant ongoing business development process here to try and identify new programs that we could bring in and that will continue. We never give guidance of course on what to expect when, but so that you know, we are constantly on the lookout for new programs. So you shouldn't be surprise at any stage, if we were to announce such a new and licensing arrangement.
Jens Holstein: And then on the back, thanks Mick for the question. On the back up of message, we have the financial resources as you know to do so, our expectation towards the yearend cash figures in the range of EUR 345 million to EUR 355 million.
Mick Cooper – Edison: Thanks very much.
Operator: Thank you. This was the last question. I'll now hand back to Dr. Simon Moroney for closing remarks. Please go ahead.
Simon Moroney: Thank you. To conclude the call, I would like to remind you of the key messages. First, we've seen excellent progress in our product pipeline. We've added further proprietary program MOR209 to our portfolio. The new Novartis program becomes the 21 clinical candidate. Janssen's guselkumab becomes the third Phase 3 program and we've just received fast track designation for MOR208 in DLBCL. Second, our technology capabilities have strengthened by the full implementation of our Lanthio platform and the acquisition of Lanthio Pharma's lanthipeptide technology and finally our strong operational performance is mirrored in the improved financial guidance, which we recently communicated and reconfirmed today.
Claudia Gutjahr-Löser: That concludes our call. If any of you, would like to follow-up, we are in the office for the remainder of the day. Thank you for participation in the call and good bye.
Operator: Ladies and gentlemen. The conference is now concluded and you may disconnect your telephone. Thank you for joining and have a pleasant day.